Operator: Ladies and gentlemen, thank you for standing-by. Welcome to The E. W. Scripps Company's third quarter earnings report. At this time all participant lines are in a listen-only mode. Later there will be an opportunity for your questions; instructions will be given at that time. (Operator Instructions). As a reminder, today's conference call is being recorded. Digitized replay will be given at the conclusion of today's call. And I'd now like to turn the conference over to Tim King, Vice President of Investor Relations. Please go ahead, sir
Tim King: Thanks, Leah. Good morning, everyone, and thanks to everyone for joining us on the call. We are going to start this morning with Tim Stautberg; he is the Senior Vice President and Chief Financial Officer. He will discuss the third quarter financial and operational highlights, cover some non- operating data, and give you a little more color on trends for the benefit of your fourth-quarter models. Then you'll hear from Rich Boehne, our President, and Chief Executive Officer. He'll talk more about the recent announcement regarding our new bank agreement and our share repurchase authorization and what those developments signal about our businesses for the long-term. Then as usual we'll open up the phone lines for a Q&A that will include Mark Contreras, who runs the newspaper division, Brian Lawlor, who is in-charge of our TV stations and Doug Lyons, our Controller. Now the commentary you'll hear from our executives this morning may contain certain forward-looking statements and actual results for future periods may differ from those predicted. On page 11 of the 2009 Form 10-K, you can read some of the factors that may cause results to differ from what you're about to hear. As a reminder, you can access a streaming audio replay of this call by going to www.scripps.com and clicking on the Investor Relations link at the top of the page. It will be active later this afternoon and we'll leave it there for a few weeks. So with that, I'll turn it right over to Tim Stautberg.
Tim Stautberg: Thanks Tim and good morning everyone. I would like to start by wishing everyone a happy election day or as we call it in the Scripps TV station group, Christmas in November. This is a bittersweet day for us. The end of a political season that started nearly a year ago, flowed but continued to gain in intensity up to and including today. The political ads helped our TV station group report a year-over-year revenue gain in excess of 30% during the third quarter which puts our performance among the best of the publicly traded peer group. The strength of our TV station sales effort contributed to the second consecutive quarter of consolidated revenue improvement. It was encouraging in the second quarter to report that our total revenues rose 5%. The first time that consolidated revenue improved since the spin-off of Scripps Networks Interactive in June of 2008. In the third quarter we stretched that figure to a year-over-year consolidated revenue improvement of 8.6%. Our consolidated costs increased during the period as well, but at a pace of less than 3%. In the third quarter, the company reported a slight loss from continuing operations before taxes of $34,000 compared with a loss of $6.9 million in the 2009 quarter. Income from continuing operations net of tax was $5.4 million or $0.08 per share compared with a loss from continuing operations of $5.7 million or $0.11 per share in the 2009 quarter. Now the tax benefit in 2010 was affected by an adjustment to the company's estimated reserve for uncertain tax positions based upon the settlement of examinations of certain state and local tax returns during the quarter. Let's turn now to the operations by starting with the TV stations which continued their momentum by reporting a year-over-year revenue increase in the quarter for more than 30%. You would expect September revenues to be strong due to the influx of political labs that traditionally start after Labor Day. But the sales performance was strong throughout the quarter. All three months were marked by revenue gains in excess of 25% with total local and national spot revenue excluding political up double digits for the quarter reflecting the general health of non-political categories that have rebounded from the 2009 lows. Aside from political ads, automotive advertising led the way as it has all year. The category was up 70% as automakers provided marketing mussel to support their offerings and local dealers continue to find our stations to be effective partners for selling cars and trucks. Those of you close to the power descript story know that most of our retrans concept rights are tied up for years to comes and agreements reached before we (inaudible). This means there is great upside in the long run as old contracts were off and new deals were negotiated in the coming years. But it also means our currently trans bucket is much smaller then it appears with revenue in the third quarter of $3 million or 66% higher then a year ago. Another small growing piece of the pie and mobile revenue on the TV station side which searched 35% in the September quarter. Year-over-year expenses in the TV division were up about 7% we kept them on fully cost essentially flat in the third quarter with overall cost rose sue impart to an accrual for expected payments to ABC for its programming. As you know our affiliation agreement with the network expired in January and we continued to negotiate with them for a long term agreement. As a result of our industry leading efforts on the top line TV segment profit was $17.7 million in the third quarter almost six times what it was in 2009 and more importantly slightly ahead of the $17 million that we recorded in 2008. Turning to newspapers, the division's revenues declined by 3.8% which is in line with our guidance is a slower rate than we have seen in the long time. Year-over-year ad revenue was down 12% in the first quarter, 7.7 % in the second and in the third quarter it moderated slightly down 6.8%. Within advertising the local and national categories were off about 10% similar to what we experienced in the second quarter. Pre-prints actually were down only 2.7% in the most recent quarter compared with a 7% decline in the second quarter. Pure play online advertising was up 7% but because many of our online ads are tied to print classified, total online advertising was down 4.2% during the third quarter. Classified advertising has been experiencing a recovery in two key categories and moderation in its overall rate of decline. Classified was down 18% in the first quarter, down 8.4% in the second quarter and down 6.6% in the third quarter. Within classified there were numbers that were so surprising that we called attention to them in our release. Real estate remained weak for us due to our exposure in the hard hit markets of California and Florida but automotive was actually up 6% year-over-year and help wanted ads rose 17% during the quarter. Let's hope that trend continues, it will be good for our newspapers and good for the economies of our local markets. In the third quarter, our reported circulation revenue increased 5.4% to $29 million. But I need to again remind you of the effective change in the nature of the business relationship between the company and certain newspaper distributors in select markets. Excluding the effects of that change which does not affect segment profit circulation revenue in the third quarter was down 1%. Newspaper expenses were essentially flat at $94 million, good control over employee cost more than offset the rising price of newsprint as we mentioned on the second quarter earnings call the year-over-year comps for newsprint prices had worked in our favor for several quarters but the inflection point came at the end of the second quarter when newsprint prices stepped higher than prior year. For the third quarter, the average price for newsprint was 30% higher than the prior year period. As a result, the cost of newsprint in press supplies rose 11% despite a 9% decrease in newsprint consumption. Segment profit from our newspaper group was $6.6 million compared with $10.9 million in the year ago period. With the sales this past summer of the United Media licensing business, our third segment is now syndication in another, the components of this small segment United Media's syndication business and other entities such as Scripps hired news service form a very small segment which had $4.7 million in revenue in the quarter and a segment loss of a $1 million. Let's turn now to some non-operating items, when we talked to you in August during our second quarter earnings call, we discussed the fact that we had no debt and a $140 million in cash on hand as a result of the sale of United Media licensing. We are still debt free and as of September 30, we had nearly $200 million in cash and short term investments. That's an inevitable position in this environment, although it's more cash on our balance sheet than we believe we need in the long run. It's also more cash than we envisioned under our secured revolving agreement. So we recently amended the agreement to reduce our fees and improve our financial flexibility. We also received board authorization to repurchase up to $75 million in Class A shares which Rich will talk more about it in a moment. Capital expenditures have dropped sharply after completion of the newspaper facility in April of last year. In the third quarter CapEx totaled $4.5 million bringing the year-to-date figure to $8.7 million well south of our original full year guidance of $20 million. We now expect total capital expenditures to be in the mid teens for the year. I'll give you a little more now in the way of revenue and expense guidance for the fourth quarter. For newspapers the rate of decline in advertising revenue is expected to moderate slightly, following the same pattern is in the same quarter. Total newspaper expenses were expected to rise slightly as a result of the higher news print prices, which were 20% lower last year then we are seeing today. On the TV side I am proud to say that we are expecting another quarter of strong growth fueled by record political spending. Two of our markets Cleveland and West Palm Beach are in the top ten markets in the country in terms of saturation of political ads. The guidance we've been giving all year is that political advertising in 2010 will match the figures in the word of mid $40 million range of 2006 and 2008. But just in the past week, we surpassed our previous record and have now booked $48 million in political advertising this year, $28 million coming in the last 33 days. That's a heck of a lot easier to say than it is to do just a tremendous team efforts across our TV station group and I know Brian Lawlor will have more to say about the effort of this team when we get to the Q&A. For the fourth quarter overall, we expect total TV advertising revenue growth of 35 to 40% which should again put us at the top of our peer group. TV expenses in the fourth quarter expected to increase in the high single digits. Finally, corporate and shared services are expected to be about $8 million in the quarter. With that, let me turn it over to Rich. 
Rich Boehne: Thanks Tim, good morning everybody. Tim just gave you all the details, I am going to add just a little bit of context to then we will take your questions. The rebound in television advertising is encouraging especially the non-political categories which have been strengthening. The year-over-year comps will get tougher obviously but what's most important is that on an absolute basis, we are back to pre-2009 levels, back to the ad revenues levels are stationed for booking before the painful resetting of the US economy began. If indeed we can then build revenue from here, local TV as an encouraging story especially when you combine that organic recovery with our strategies to expand the local audiences and improve the revenue we yield from those (inaudible). Although none of us has enjoyed the adventures of the past 24 months in America. This difficult period has provided Scripps with a season of competitive opportunity because we are not phased with the life or death financial pressures as some of our local competitors. We have been able to redo our stations and our newsrooms for both greater efficiency and long term audience performance. I am confident these modest strategic investments made it a time when we have the greatest leverage who yield very good returns in the years ahead. On the newspaper side has been a similar strategy. Instead of random expense cuts like furiously bailing water going in intense storm, we instead have the opportunity to reengineer the ship for smoother sailing over the long term. Now don't get me wrong, ad revenues are still below the prior year which is anything but sunny skies and general breezes but after over hauling the entire newspaper operating system, putting the greatest emphasis and energy on content and ad sales, we are approaching a newspaper operating system, its dramatically more efficient and more opportunistic than the one that dominated the industry and largely defy the forces of evolution for a 100 years. Here again there is much more to do where we made a very most of the recent economic crisis in America. The opportunity to play offense in the past two years is the direct result of our full commitment to financial stability and flexibility. We made a series of very tough decisions closing on profitable operations and selling on strategic assets and asking all employees to sacrifice. In essence asking employees to make an investment in the company's future right out of their pay checks. The result is an enviable balance sheet, no debt cash in the bank, a well funded pension plan and now the opportunity to invest and the opportunities we know best through the repurchase of our own shares. Allocating up to $75 million to buy end shares is a very good way to return capital to those shareholders who choose to take it, and at the same time get a return on that cash. In addition, we will continue to make investments in new and variable products audiences in revenue streams. Added score this is an entrepreneur enterprise and I can't imagine a better environment for the well funded to build from within. This also is a perfect environment to remember what never changes at Scripps, a full commitment to doing well by doing good. Our strategy is to capture an economic benefit by making communities better places to live and do business. We do that on a lot of ways, but also lead by a dedication to multi-media journalism and high quality enterprising reporting that informs, engages and empowers on markets from coast to coast. On this Election Day in 2010 and on the 132nd anniversary of the company, its hard to imagine a better place to do business and a better place to build businesses than in the dynamic marketplace for ideas. Thanks for joining us this morning and for your support of the company. We are ready to take questions. 
Operator: Thank you, ladies and gentlemen (Operator Instructions) Our first question is from the line of Craig Huber with Access 342. Please go ahead. 
Craig Huber - Access 342: If I could you've mentioned order I think of 70% what percent of the total revenue in the quarter was that (inaudible) 6.5%?
Tim Stautberg: It was 17% Craig.
Craig Huber - Access 342: And then also can you speak about your TV pacing after elections how were those sort of tracking?
Tim Stautberg: Well in terms of fourth quarter obviously once we get through the election and the $28 million that we've had that should open that the inventory grosses to be able to concentrate on core audiences. We do expect our local and nation spot exclusives of political to be up again in fourth quarter as it has been all year.
Craig Huber - Access 342: Quantify that I mean how the post to day in rest of November how December TV pacing were in as well.
Tim Stautberg: I think the pacing is still strong, one other things you want to keep in mind is the recovery started last December, so after in 2009 after negative comps January through November, December was plus 11 in 2009. We do expect to see growth over that but quite frankly its still early in the quarter to determine exactly where this months going to finish for December.
Craig Huber - Access 342: Okay. And if you could switch over to question I typically would like to ask, how much of your advertising revenue decline in pricing versus volume acquired on average. 
Mark Contreras: Craig this is Mark, let me just give you kind of big buckets and then we can go from there. Again this is full run ROP rates versus the entire revenue category, so it's a little bit of apples and oranges but total local in the quarter was down 10.4%, total local full run-rate was down 4% so the difference was linage.
Craig Huber - Access 342: And what about the national classified category?
Mark Contreras: Classified revenue was down 6.6, rate was down about 7 in the aggregate and then national revenue was down about 10.6% and rate was down about 12.
Craig Huber - Access 342: Lastly, you guys missed this but your ad revenue declined by month in the quarter. How was that free to the 3 months and how was October shape and up?
Mark Contreras: The quarter actually was lumpy. We improved as we hit the last month in the quarter and we have some reason to believe that we will continue the improvement. Just keep in mind, our October has 5 Sundays in it but even accounting for that change we still think that we will see some pretty hopeful improvement in October and hopefully that will carry through for November – December based on where we end at September.
Craig Huber - Access 342: Quantify that for the 4 months?
Mark Contreras: Probably not, we will wait for the end of the quarter. 
Craig Huber - Access 342: Later in the July, August and September, you don't have those ad revenue percent changes?
Mark Contreras: Not by month, I don't think if we report now by quarter.
Operator: Next we go to a question for line of Edward Atorino with Benchmark.
Edward Atorino - Benchmark: I want to get back to the TV sides. If you look at the last year's fourth quarter, 73 million with 3 million political and you take up. So you are looking for growth in the core local and national business, even with political in there?
Brian Lawlor: Hi, this is Brain yes, that's correct. I see it local growing, national growing and of course we get the political on top of that.
Edward Atorino - Benchmark: You are one of the few broadcasters that has been willing to make that kind of call. I hate to say why? Just the big markets have kind of room for that type of business to come in the door?
Brian Lawlor: I don't know. If it's the big market, so just the opportunity you know, we obviously had record political book, quite frankly it was driven by almost three markets Florida, Tampa, West Palm Tampa and Cleveland. So that actually opened the door for us to maintain consistent core business in most of our other markets that were not political.
Edward Atorino - Benchmark: And then on the cost side, are you going to put any money back in the television group in addition to the continued accrual stuff or we need to sort of add cost anywhere. It puts some money back in so to speak?
Brian Lawlor: We are investing money in places that can increase the quality of our content as well as increase the numbers the sellers on the street, both over the last 18 months we have been period disciplined in taking some permanent cost out, we build some graphics and traffic cost we have implemented automation at several television stations. So I think a lot of our reinvestment in our product has come as a result of some of the efficiencies we gained. 
Edward Atorino - Benchmark: On the ABC accruals, the billing sort of end in 1Q '011 or when will you know what you got to pay?
Brian Lawlor: We continue to negotiate with them and say conversions have been continue and are productive and I am hoping that in the near future we will be able to reach final agreement with them. So in a perfect world in fourth quarter we will reach agreement and..
Edward Atorino - Benchmark: What would that mean for sort of the your eleven cost versus 2010 is it sort of a small increase would they be down, more investment to go you loose hope for it at some point which save you a lot money.
Brian Lawlor: It will -- that will go away in September and I think its fair to say that whatever we paid in networks would probably not add up to what we will save with our overall reduction. 
Edward Atorino - Benchmark: One last question on core visibility on newspapers, do you see anything beyond 4Q or its, you think January could have some retail carry over business, how do you look at the early part of 2011. 
Mark Contreras: Ed, this is Mark, I cant remember ever being in an environment where there is a little visibility I mean I just beg off that one if you don't mind. 
Edward Atorino - Benchmark: I don't mind at all, that's what the situation is.
Mark Contreras: Yeah.
Operator: And next we will to line of (inaudible). Please go ahead.
Unidentified Analyst : Right, thank you and good morning. Couple of items here, Brian could you talk about some of the other categories with order up 17% and still just 17% ad revenue so what else is moving the (inaudible). 
Brian Lawlor:
 : 
 : 
Unidentified Analyst: If we switch gears just a bit to the print side, we haven't heard much about either HotJobs or Yahoo and a switch to months, can you talk about that relationship how its changed and how it is likely to change going forward?
Mark Contreras: We are literally, last week I think it was our first week with the Monster folks, they are in the middle of transition with Yahoo and the HotJobs folks and so I think probably next quarter will be able to see. I will tell you the early read from our folks working with the Monster people. They said they are very focused and we have some reasonable hope that we will be able to actually generate more revenue with Monster than we did with HotJobs but that's a very preliminary statement at this point but we are literally right in the middle of the transition and we have more for you once we are up and going.
Unidentified Analyst: Quickies if I may, one on the repurchase authorization, how aggressive do you think you might be?
Tim Stautberg: I am just not going to comment on aggressiveness. We put out a release that told you the board authorized us to repurchase up to 75 million shares and the timing of that and the method of that, we are going to just remain flexible on. We are looking at it as an investment and so looking at the intriguing value of the business and what we can buy in shares at pretty much as simple as that. I don't think we would get so aggressive as to make a poor investment choice.
Unidentified Analyst: Maybe for Rich, bigger picture, what's your business going to look like on a 2 -3 years from now I think its really hard to say. 
Operator: (Operator Instructions). We go to the line of Alexia Quadrani with JPMorgan. Please go ahead.
Alexia Quadrani - JPMorgan: With a few questions. First in the TV business your core advertising growth is clearly very strong, there were bit from Q2. How much of that would you attribute to this place by political.
Tim Stautberg: I say fair amount of that Thomson, its brand, we are triply political advertising in third quarter as we had in second quarter and we had almost none in first quarter and as we grew to $7.5 million in political in September that resulted in a fair amount of displacement, so it included that we had an impact but not a really dramatic. 
Alexia Quadrani - JPMorgan: And can you talk about performance by geography in the core business, is for the big point of weakness on the TV side as well. 
Tim Stautberg: Well, its hard to say because the political in Florida has just been wild and so if you look at third quarter further our two markets including political the West Palm Beach market in third quarter in total will add revenue for the television business was up 49% and capital was up 33%. And so obviously that's going to have a pretty dramatic impact on the core business but even if you pull out the political both Tampa and West Palms spot business of their core categories also increased in third quarter. So I think we feel pretty good about Florida and we are looking forward to, we have been tried the political dollars but we are looking forward to getting back in serving our core advertisers. 
Alexia Quadrani - JPMorgan: And at looking out of it further on 2011 just in the overall company can you give any sense on your cost outlook for areas such as newsprint pricing and employee comp and some of the head-wins and opportunities you see.
Tim Stautberg: You want to do newsprint pricing?
Mark Contreras: We think we will probably experience a few more single digit increases in newsprint pricing as we go through the year and that the markets are still different east to west and its we are baking into our plans that will experience a slight increase next year, not about employee cost.
Tim Stautberg: we are just starting into the budging process and we will be finishing up at least a first look by the time we get to New York for the December investor conferences so probably premature to give specific guidance on '11.
Alexia Quadrani - JPMorgan: One final, can you say whether you have started buying back any stock yet?
Tim Stautberg: we report on a quarterly basis if we have had any activity at the end of the quarter.
Operator: And we have follow-up question from the line Craig Huber from Access 342
Craig Huber - Access 342: My first follow-up, you had this 3 – $3.5 million restructuring charges each of the first three quarters this year, are you expecting to do that again here in the fourth quarter and if so what areas are you sort of targeting?
Tim Stautberg: That probably a decent amount and most of the dollars today that are going through restructuring or for systems implementations where we are sourcing our finance and accounting functions and putting in new revenue fund end editorial systems as part of 3.2 but I think those are going to tail off in '11.
Craig Huber - Access 342: Small category, syndication and other atomy sort of more than annoying zero to $1 million losses quarterly here. Do you feel you can do on that in that segment here to get that thing at least breakeven go forward basis and you can shutdown here or anything?
Rich Boehne: Craig, its Rich not on the shutdown, there are whole bunch of different things that are in that segment, syndication by itself is good chuck of revenue which is small business, we will get that we believe to breakeven. The other pieces in there the Scripps hired news service for example and although you see some of the cost there, the revenue shows up in other poises because the content issues in a newspapers and the TV division. But in general sure we don't want to show also in that segment and we will do what we can all the way through those various pieces to get a breakeven or better. 
Craig Huber: Especially going same for 2011 to breakeven?
Rich Boehne: By the end of '11. its more annoying than it is and a concern for us. These are important businesses for Scripps we are sorry if they are annoying to you but we will do our best to manage them efficiently but they were always been there that just been part of what was a bigger segment at that time. 
Craig Huber: And then also did I hear you right? Perhaps these expected added cost here for ABC contract for programming, you don't think that will be so large to offset in the program cost savings once Opera falls off on the net basis?
Rich Boehne: I think on an annualized basis if I think that's correct. 
Craig Huber : And now I also takes into account that the program end up replacing Opera with I assume the revenues are probably be lower, net all that together, all three pieces to revenues with replace upper costs savings versus this ABC extra payments that do you think will go ahead. 
Tim Stautberg: Yes, Craig I think that's accurate. 
Operator: And we have a question from the line of (inaudible). Please go ahead.
Unidentified Analyst : Good everyone thanks for taking the question. I just had a question on Scripps 3.0 and as you have got into it, just kind of the effects that you are seeing this far and we got to sense the margin opportunity which is pretty dramatic and that you are spending a great deal of time on it, just if you give us any commentary as you look forward. 
Mark Contreras: In general where you've seen a real immediate benefits have been both in the cost of the revenue side. In some of the areas related to production and transportation, we've been able to take significant moves, significant risks offered by via sheets focus primarily on content and sales. We've also been able to generate new revenue streams in search and in several other online categories but do it across the board and we got plans for next year to generate two or three similar parts of revenue that didn't exist in 2010 and we would again be dong those in most of our markets in concerts so, it is still a work in progress I guess it is the best way to characterize it but the goal here is to create an organization that focuses very clearly on content and sales and leverages the ability to do it across 13 markets and in addition with partnerships, in partnership with other organizations as well. 
Unidentified Analyst : Just follow up just on the cash balance we congratulate company on the share buyback I think that's great news, as we look forward to the fourth quarter it seems that even with the cash payment, there will still be cash generated and that the cash balance at the end of year will be even higher than where it is today and then the company should be cash generated again next year, How do you think about the $75 million in the context of again your cash balance increasing in the fourth quarter and again next year?
Tim Stautberg: We do have an expected payment to the IRS for to several tax liability that we estimate for 2010 not to settle but to make an estimated payment for 2010 so I think we plan in to send another 15 to $20 million to the IRS in the fourth quarter. So by assume we will probably be around 200 million at the end of the quarter but I am not sure then it's going to significantly higher than that and we will see how 2011 turns out. Clearly we are not going to have the kind of political revenue that we enjoyed this year. We are going to continue to work hard in the newspaper business but we should be still in a very strong position financially and that will give us the flexibility to decide how we want to allocate that capital. It's not burning a hole in our pocket, we are being very thoughtful about how we allocate that and to the extent that we return it to shareholder through share repurchase that seems to make sense to us but again we are not doing anything with an overly heightened sense of urgency here. Unidentified Analyst Finally on CapEx, can you give us any thoughts on next year, whether than number or the 15 number we'll see this year will decline?
Unidentified Company Speaker : You know we are still in the midst with the budgeting process so it's probably too early to be too specific but I don't think it will be a significantly higher than that number, I don't see any big projects coming. 
Operator: And there are no further questions, you may continue. 
Unidentified Company Speaker: We appreciate your help this morning and thanks everyone else for joining us on the call. Take care. 